Operator: Greetings and welcome to the Frequency Electronics Q2 Fiscal ‘24 Earnings Release Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. Any statements made by the company during this conference call regarding the future constitute forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements inherently involve uncertainties that could cause actual results to differ materially from the forward-looking statements. Factors that would cause or contribute to such differences are included in the company's press releases and are further detailed in the company's periodic report filings with the Securities and Exchange Commission. By making these forward-looking statements, the company undertakes no obligation to update these statements for revisions or changes after the date of this conference call. It is now my pleasure to introduce your host, Thomas McClelland, President and Chief Executive Officer.
Thomas McClelland: Thank you, and good afternoon everyone. From a financial point of view, as was the case last quarter, we have encouraging numbers to report. And I continue to be confident that we're on a sustainable path of growth and profitability. We have a lot of exciting new business and are confident in our ability to execute profitably going forward. As everyone should be aware, we publicly announced three relatively large contracts, one right after the other during the month of November. These contracts were a long time in the making, and originally we anticipated getting under contract much sooner. However, in the end, this occurred after the close of Q2. Because these contracts have been anticipated for some time, we've been able to prepare ahead of time and are thus in an excellent position to hit the ground running so to speak. We have every reason to be confident in our ability to execute these programs successfully. In addition, we anticipate additional smaller contracts to be coming online over the next few weeks/months. And we will make public announcements as appropriate. All in all, we're experiencing significant growth and have good reason to believe that this trend will continue going forward. Let me briefly highlight the financial results before Steve fills you in on the details. Revenue, gross margin, and operating income are all up compared to Q2 of last fiscal year and holding steady compared to Q1 of this year. The backlog is holding steady at around $50 million at the end of Q2 and is anticipated to grow significantly based on the new orders that we got in November. So in summary, I believe our efforts have put us on a sustainable positive trajectory of growth in our core business. The company remains committed to achieving sustained profitability and cash generation going forward. At this point, I'd like to turn things over to Steve Bernstein, our CFO, who will go through the numbers in a lot more detail.
Steve Bernstein: Thank you, Tom, and good afternoon. For the six months ended October 31, 2023, consolidated revenue was $25.9 million compared to $17.2 million for the same period of the prior fiscal year. The components of revenue are as follows. Revenue from commercial and US Government satellite programs was approximately $9.5 million or 37% compared to $7.8 million or 46% in the same period of the prior fiscal year. Revenues on satellite payload contracts are recognized primarily under the percentage of completion method and are recorded only in the FEI New York segment. Revenues from non-space, US Government, and DOD customers, which are recorded in both the FEI New York and FER Zyfer segments, were $15.8 million compared to $8 million in the same period of the prior fiscal year and accounted for approximately 58% of consolidated revenue compared to 47% for the prior fiscal year. Other commercial industrial revenue was $1.4 million for the six months ending October 31st, ‘23 and ‘22. The significant increase in revenue for the period compared to the same period in the previous fiscal year was related to contract awards, resolution of technical problems from the previous fiscal year, and improvements made by management. For the sixth month ended October 31, ‘23, gross margin and gross margin rate increased as compared to the same period of fiscal year ‘23. The gross margin dollar increased as a direct result of increase in revenue. The gross margin rate increased significantly due to the fact that many of the technical challenges faced in the prior fiscal year have been resolved and as a result the related programs are now moving forward and running more efficiently. Previous programs that sustained lower margins due to technical issues are near completion or have completed. For the six months ending October 31, ‘23 and ‘22, SG&A expenses were approximately 19% and 23% respectively of consolidated revenue. The percentage of consolidated revenue decreased 5% due to an increase in sales for the six months ending October 31st, ‘23 as compared to the six months ending October 31st, ‘22. The increase in SG&A expense for the six months ending October 31st, ‘23 as compared to the prior year period was largely due to an increase in professional fees, payroll, and associated costs. R&D expense for the six months ending October 31st, ‘23 decreased to $1.3 million from $1.7 million for the six months period ending October 31st, ‘22, a decrease of $400,000 and were approximately 5% and 10% respectively of consolidated revenue. R&D decrease for the six months ending October 31, ‘23 was primarily due to a shift of employees between production and development depending upon availability, scheduling, and necessity. The company plans to continue to invest in R&D in the future to keep its products at a state of the art. For the six months ending October 31, ‘23, the company recorded operating income of $3 million compared to an operating loss of $5.4 million in the prior year. Operating income increased due to a combination of increase in revenue, gross margin, and the effects of cost-cutting measures instituted by management that began in fiscal year ‘23. Other income can be derived from reclaiming of metals, refunds, interest on deferred trust assets or the sale of fixed assets, interest expenses related to deferred compensation payments made to retired employees. This yields pre-tax income of approximately $2.9 million compared to a $5.4 million pre-tax loss for the prior fiscal year. For the six months ending October 31, ‘23, the company recorded a tax provision of $13,000 compared to $2,000 for the same period of the prior fiscal year. Consolidated net income for the six-month ending October 31, ‘23 was $2.8 million, or $0.30 per share, compared to a $5.4 million loss, or $0.58 per share in the previous fiscal year. Our fully funded backlog at the end of October ‘23 was approximately $50 million compared to $56 million for the previous fiscal year ending April 30, 2023. The company's balance sheet continues to reflect a strong working capital position of approximately $25 million at October 31st, ’23, and a current ratio of approximately 2 to 1. Additionally, the company is debt free. The company believes that its liquidity is adequate to meet its operating and investing needs for the next 12 months and the foreseeable future. I will turn the call back to Tom and we look for your questions soon.
Thomas McClelland: Thanks Steve. We will now turn things over for any questions.
Operator: Certainly. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] And the first question today is coming from Brett Reiss from Janney. Brett, your line is live.
Brett Reiss: Gentlemen, thanks for the opportunity to asking a question or two. Tom, the Starlink satellite program that SpaceX has that so many of the militaries are using in the conflicts that are going on, is the satellite size of those satellites, the size where our atomic clocks and our frequency generators, are these potential sales opportunities?
Thomas McClelland: Well, I can tell you that Starlink in particular, none of our products are on the Starlink satellites at this point in time, nor do we have any anticipated presence on the Starlink satellites going forward. However, there are several other similar kind of satellite systems that are in various stages of development and launch and we have been talking to several of these programs. And we do anticipate at some point in the future that we will definitely be involved in these programs. So one of the important things, Starlink is very much a communication system. Where we think that we have a better opportunity is in similar systems that are developing a navigation segment on those systems. And there the precision timing becomes much more important and that provides a big opportunity for us. And this is a pretty big thing at this point in time. People are very concerned about the vulnerability of GPS and the ability to -- so one thing is to actually take out GPS satellites. The other is to jam the signals from those satellites or to spoof them. And it's much more difficult to jam the signals that come from low Earth orbit satellites, because the signals are at a much higher level. And so a lot of people, a lot of programs are looking at adding a navigation payload and capability to those systems. And we have a big potential opportunity in those and we're looking at those very, very carefully.
Brett Reiss: These organizations that are looking to develop these similar systems, do you know who they are and you already have our foot in the door is it someone that your salespeople have to first get to know?
Thomas McClelland: No, we know who they are and we do already have our foot in the door in a significant number of these.
Brett Reiss: Great. I'm going to drop back in queue. Thanks again for another good quarter and good holiday to you.
Thomas McClelland: Okay, thanks, Brett. Thank you.
Operator: Thank you. The next question is coming from [Chris Vatowski] (ph). Chris is a private investor. Chris, your line is live.
Unidentified Analyst: Hello. Congratulations on great results.
Thomas McClelland: Thank you.
Unidentified Analyst: I want to ask first, did the -- did margins go down slightly sequentially because you discussed margin of six months basis, but on quarterly basis it seems like you sequentially had slightly larger revenues. Last quarter you said, barring one-time items, your net -- your operating income was a little bit over $1 million and now it was a little bit under $1 million.
Steve Bernstein: Yeah, you -- that's certainly correct. But I think the point I would emphasize, we always anticipate that quarter to quarter, we're going to see some fluctuations in things. As we reported last quarter, there were some one-time events that had a positive impact on those numbers. And those one-time events aren't there this quarter. So I think the way I, strictly speaking, the margin went down a little bit, but I think I would, I think realistically I would characterize it as pretty much holding steady.
Unidentified Analyst: Okay, and generally speaking, does your business allow for leverage, kind of continuing, raising margins as your revenues increase, or would the government -- would the government economists kind of like look at that and take that into account when they price your contracts?
Thomas McClelland: Yeah, we -- for our government customer, of course, they scrutinize things pretty carefully and we're subject to audit of all our numbers on any programs that the ultimate customer is the government. But I think that we feel pretty strongly that our gross margin is going to continue an upward trend. Of course, that's not going to go on indefinitely. But we're targeting gross margin of around 50% and we think that we can get there within the next six months to a year.
Unidentified Analyst: That is great to hear. And you -- backlogs were kind of a hair down sequentially again, but you still anticipate -- to be clear, you still anticipate backlog shooting up again as you win more deals. Is that correct?
Thomas McClelland: That's definitely correct. Same -- I would characterize that the same way. It's true, literally speaking, the numbers have gone down a little bit over the last quarter, but they're really pretty much holding steady. And given the new business that we booked in the month of November, and additionally, what we anticipate over the next couple of months, our backlog is definitely going to trend upwards because of that.
Unidentified Analyst: Okay. That's good to hear. And of the deals you announced, one of them wasn't a US government customer. Is that still a military deal or is that a civilian deal?
Thomas McClelland: It's not a military deal. Let me put it that way.
Unidentified Analyst: Do you expect you can enter the civilian markets in any way?
Thomas McClelland: I'm sorry, can you say that again?
Unidentified Analyst: Do you expect to go into civilian markets significantly?
Thomas McClelland: Definitely. It -- of course, in the satellite business, the US government has historically been the biggest player. But we -- there's always been -- there's a lot of activity and more and more coming from other arenas. And the $9 million contract that we talked about in our November press release, is an example of that, and we anticipate that there will be more of that going forward.
Unidentified Analyst: Okay, that's it for me. Congratulations again.
Thomas McClelland: Okay, thank you.
Operator: The next question is coming from Tim Hasara from Sinnet Capital. Tim, your line is live.
Tim Hasara: Yeah, thank you. Tom, I just wondered, did you -- I just want to confirm, you said 50% gross margins in the next six months to a year. Is that correct?
Thomas McClelland: Yes. That's our goal.
Tim Hasara: Right. And I would assume that the three new contracts that you announced in November would be a much higher gross margin than -- to help the mix there. Would that be correct?
Thomas McClelland: In general, that's correct. Yes.
Tim Hasara: And with respect to those three contracts, I would assume that you'll book those as a percent of completion through the term. I guess all three of them are approximately two years. Can you...
Thomas McClelland: Yeah, the -- one of them is actually closer to three years. But -- and one of them is 18 months, but they will all be a percentage completion.
Tim Hasara: And with respect to booking those on a quarterly basis, will -- can you give us any kind of estimate or guidance would it be somewhat linear for the amount of the contract or more front-loaded, back-loaded? Or any kind of color would help kind of model that?
Thomas McClelland: Yes. I think the -- it's pretty hard to model but I would say that this -- the best approximation would be a linear approximation, probably a little bit more upfront but approximately linear over the course of the program.
Tim Hasara: Okay, great. I don’t have any other questions. Thank you.
Thomas McClelland: Okay, thank you.
Operator: Thank you. The next question is coming from [Frank Wysensky] (ph) and Frank's a private investor. Frank, your line is live.
Unidentified Analyst: Hi, and your backlog, given the new orders in November, your current backlog must be closing in on about $100 million. And in that light, your inventories, which are high, is that positive, I assume. I'm curious about the personnel though. Do you have enough engineers and you have enough people to put out these contracts efficiently?
Thomas McClelland: Okay. So a couple of things to highlight there. First of all, the current backlog is not at $100 million. You have to keep in mind that when we get under contract on these programs, we don't get authorized to spend the full amount of the contract. So the backlog is going to go up and it's going to go up significantly over the coming months, but it doesn't all happen at once. So just -- that's kind of an important thing to understand. I think that -- I'd like to address inventory a little bit. I think you're actually right on the money with that one. I think we're really coming out of the pandemic and this period where we all experienced supply chain problems. And as part of that, it was pretty important to -- inventory provided a good buffer to all of the supply chain kind of problems. And we're really kind of coming out of that, and we're at the point where we really want to be much more aggressive in keeping the inventory down and approaching it and managing that inventory very carefully. But you're right, we do have a very significant inventory. And as we start these programs, especially where we're on really quite historically quite tight schedules to deliver things. That's a benefit. Now your other part of the question regarding engineers, I think this -- what I tried to point out in my opening statements is that we've actually been working on these three programs for quite some time. And in fact, it's been fairly frustrating that we didn't get turned on, get under contract on these jobs sooner than we did. But the benefit of that, the positive thing about that is that we've really been preparing for these programs over the last six to nine months. And we have cautiously been increasing our workforce and hiring engineers. So we're really in, I think, a very, very good position in that regard. And I'm very, very optimistic about our ability to execute these effectively right from the start.
Unidentified Analyst: Good. I'm a little curious on how you figured the backlog. You've got contract awards, say, the first one for $25 million. So you don't take all that $25 million, even though it's been awarded, you don't take it in the backlog?
Steve Bernstein: No. We only take fully funded backlog. So in that example, let's just say, a $25 million contract, they give you $5 million upfront and then they progressively fund it accordingly. We would only put $5 million in backlog.
Unidentified Analyst: I understand. But I mean it's not like the rest of that $25 million is contingent on anything other than you delivered in the first $5 million, I suppose, right?
Steve Bernstein: It's not contingent on anything, but it's just funding and we only report funded backlog.
Thomas McClelland: So the -- and just to follow up on that, in that particular example, that's a $25 million program, which has that completion in 18 months. So I think one of the important ways to look at that is that backlog has to surface within the next 18 months. And obviously, most of it a lot sooner than that. So our initial turn on was just for a few million dollars, but that has to -- in order for that customer get that product in 18 months, they're going to have to turn us on for a lot more money relatively quickly.
Unidentified Analyst: Great. I understand. In that same vein, the atomic clock order, which I guess has a potential contract options of $70 million, depending upon the effectiveness of the navigation system performance on a demonstration satellite, when is that demonstration satellite going up? And when do you just -- when do you expect to receive confirmation that the product has been effective?
Thomas McClelland: So I think that is currently scheduled for 2027. So we would anticipate that potentially even well before that. But certainly at that point in time, we would anticipate that, that would get determined. Let's just put it that way. This is a new customer for us. And I think one of the important things is for that customer to gain confidence in working with FEI and so we're doing everything we can to position ourselves so that those options get realized.
Unidentified Analyst: It's fully -- you don't expect any engineering difficulties like you've had in past programs and that -- on this program I hope.
Thomas McClelland: No, we do not. In fact, that's one of the things. This is -- there's very little new development on this. It's basically building hardware, it’s production job. And it -- there's every reason to believe that we should be very, very successful on this one.
Unidentified Analyst: Okay. One final one for me. Investors look at FEI pretty much as a satellite program company. But the Zyfer and the non-satellite business seems to be going quite well. Are there big orders associated with that business? Or is it more continuing orders? Or is it smaller orders, but the numbers are quite impressive, how that's going?
Thomas McClelland: Yeah. They actually have been very successful over the past couple of quarters in getting new work, completely new stuff. And of course, there are also continuing orders on their existing products. So they went through a rough patch about a year ago. Things were moved around the country but they've surprised us all actually in their ability to turn things around. And things are really just looking really good at Zyfer at this point in time.
Unidentified Analyst: And is the -- are the margins at Zyfer similar to the satellite? Or is there any difference in the margin structure of those two operations?
Thomas McClelland: Yeah. I think they're -- the numbers aren't that different when you look at them, but I think the details of how you get there are definitely not quite the same.
Unidentified Analyst: All right. Well, Thank you very much. I wish you best of luck in the coming quarters.
Thomas McClelland: Thank you.
Operator: Thank you. The next question is coming from George Marema from Pareto Ventures. George, your line is live.
George Marema: Hi, thanks for taking my call. I had a question about your SG&A, R&D expenses. As revenues increase and if you get near your gross margin -- well, let me ask it a different way. If you get towards your gross margin goals, what would net margins approximately look like?
Thomas McClelland: Steve, I'll let you take that one.
Steve Bernstein: So SG&A on a dollar value number is going to run fairly consistent. I mean, again, if we grow substantially, yes, there'll be some more costs in there. But percent-wise, as you see, it went down for getting the percentage to dollars even as a formula of income is down. So we expect it to stay at that current level where it is now unless things substantially grow.
George Marema: Okay. And you don't expect the net margin to expand as a percentage of sales?
Steve Bernstein: Gross margin or SG&A?
George Marema: No, net margin. Well, let's say your gross margin does 50%, what would you anticipate on a net margin -- operating margin, right?
Steve Bernstein: I would have to look at it, but it will go up. And again, I think, like I said, the actual cost structure will be relatively the same, all in all.
George Marema: So the SG&A right now is about [$2.5 million] (ph) a quarter. You don't expect that to increase too much?
Steve Bernstein: No, I do not.
George Marema: Okay. All right. And also after you've won a couple of these big jobs here recently, what kind of the opportunity outlook over the next couple of years look like, the opportunity set? Pipeline?
Thomas McClelland: The opportunities are -- look really great. We -- you might imagine that we got been working on these three jobs for some time, and we finally got them and that's it. But the reality is that we were just actually overwhelmed with opportunities at this point in time. Space is booming. And I don't see that turning around anytime soon.
George Marema: Okay. So a lot more. You mentioned you may have some small wins here in the coming weeks/months. You -- are there any big ones in the pipeline or they're all -- you won them already?
Thomas McClelland: No. There are definitely some other big things in the pipeline, but the big things don't happen overnight. Some of the -- there's kind of a constant garage of smaller things coming in. The big ones, I think we look for some things to materialize in six to nine months, perhaps.
George Marema: Okay. And if I may ask one last one. Since you were there for many years there, I know you're new as the CEO, but you have some history of the company. Can you kind of maybe compare and contrast or describe maybe qualitatively, the difference between today and back around 2018, there was a similar, I'd say, setup in terms of huge opportunities, a lot of wins, but it just didn't really materialize. What kind of happened then? And what's to prevent from everything to kind of fall apart in now.
Thomas McClelland: Yeah, a very good question. And of course, there are no guarantees in life, but I think we are doing some things differently. I think that if we look historically, we've had a lot of difficulty with what we refer to as NRE programs, non-recurring engineering or a lot of new development activity. Historically, when those turn into later on into production, we've been able to do those very profitably, but we have been challenged with the development. And I think one thing that I've made a real effort to do differently, is we're bidding these things differently. And I think to some extent, my experience here over many years, I have been involved in an awful lot of these development programs. And I know the pitfalls and the difficulties. And I think we're pushing back really hard, and we're making sure that we bid these in a way that we feel confident that we can be profitable. And so I think that's one of the elements. I think then the rest is just kind of the devils in the details. I think if we look at the specific programs that have just come online in November, I think these have a smaller non-recurring engineering component to them. They are much more production and those historically, we have been very effective on. So we're confident in that regard. And I think the rest of it is just -- I think one of the problems starting in 2018 is that the top management really didn't understand the programs very well. And so we really didn't -- we just kind of ended up behind the eight ball from the start in some cases. And I think I'm actively involved in these programs, and I'm committed to making sure that they execute effectively going forward. And I think -- so that's my take on things. It's a really good question. But we will just have to see how things go going forward.
George Marema: I appreciate that. If I may slip in one -- really one last quick one here. I know you guys don't give guidance. Do you guys, as a company, have good visibility quarter-to-quarter on what revenues and costs look like or you don't have much visibility?
Thomas McClelland: No, we have pretty good visibility.
George Marema: Have you considered giving quarterly guidance a quarter ahead?
Thomas McClelland: Steve?
Steve Bernstein: As of now, we don't guide going forward, maybe we will continue in the future, but not for now.
George Marema: Okay. Thank you for your time.
Steve Bernstein: Okay.
Operator: Thank you. The next question is coming from Michael Eisner. Michael is a private investor. Michael, your line is live.
Unidentified Analyst: Hi, how many employees do you have at this time?
Thomas McClelland: We have just about 200 employees that including all three sites at this point.
Unidentified Analyst: That's full time?
Thomas McClelland: Yes.
Unidentified Analyst: And some -- you have some part-time also, right?
Thomas McClelland: We have some part-time. We work with some consultants and we have some contracts with some outside engineering contractors.
Unidentified Analyst: All right. So you hired more people. The three contracts, the first two, the technology is already proven on the first two? The $25 million and the $19 million.
Thomas McClelland: Yes.
Unidentified Analyst: That's great. Now can these companies, whoever you are dealing with, can they give you more business on these two contracts?
Thomas McClelland: Yes.
Unidentified Analyst: Right, just the first part of like, for example, the $25 million that will be done in roughly two years or so, that could go through another $20 million, say.
Thomas McClelland: Well, it -- I want to make sure I don't mislead. It's -- in that particular case, is not like there are contract options going forward. But that is a major satellite supplier and we had many, many contracts with that particular company over the years, and we will have many more going forward. In fact, we do currently have other contracts with that company. And I have every reason to believe that if we are successful on that particular program that, that will lead to other satellite programs for us going forward.
Unidentified Analyst: Well, it should work because you're using technology that worked before.
Thomas McClelland: Yeah. Absolutely. This -- one of the things we pointed out in the press release is that this is a $25 million program, but from beginning to end, this is a 18-month time period. And in a way, this is -- the ultimate customer is US government, and this is sort of a test to see if we and of course, our customer can deliver in this shortened period of time. Typically, a program like this would take roughly three years to do the same thing. We're trying to do it in half that time. And so we're -- we see this as a big challenge, but it's one that we are pretty confident that we can do and I think if we're successful, I think there's going to be a lot more business behind it.
Unidentified Analyst: All right. Well, that's good to hear. But at this point, these three contracts, I assume you already started working on them.
Thomas McClelland: That's correct, yes.
Unidentified Analyst: So the clock is already ticking because you didn't start just today. When the data contract was arrived, it came in.
Thomas McClelland: Yeah, that’s -- we are moving forward very aggressively on all of these.
Unidentified Analyst: And the $9 million one, is that new technology? Or you had did that work before?
Thomas McClelland: No, that's not new technology for us. That's based atomic frequency standard, but that is an existing FEI product that has already gone through qualification testing and so forth and so on. And so that is one that we really do not anticipate any major difficulties in the -- it's just a straight manufacturing.
Unidentified Analyst: All right. And who owns the technology for that, you or the customer?
Thomas McClelland: We own the technology.
Unidentified Analyst: Is that on all three contracts?
Thomas McClelland: Yes.
Unidentified Analyst: So they -- once you make it for them, they can't take the work to someone else?
Thomas McClelland: No. No. Definitely not.
Unidentified Analyst: All right. So you get the R&D, which is key. And that one you mentioned it could be $70 million over 6 years. Is that more because they don't want to give you the whole thing at once they won.
Thomas McClelland: Well, so I have to be careful what I say because we -- as part of this contract, there's a lot of specific information that we're not able to divulge. But this is a navigation satellite system. And so the idea is, the products that we're going to deliver on this contract are going to go on a demonstration satellite. And if that demonstration satellite is successful, then there's a very high probability that those options will be exercised. Now the other thing to keep in mind, if you read about a lot of these satellite systems, there's all kind of -- independent of the FEI's participation in these programs, there's -- it's very expensive to launch a satellite system, there are all kind of considerations. And so there are many things other than just the product that we deliver for the satellite that can cause problems for the ultimate success of that satellite system. Those things are completely out of our control. And so there are a number of other reasons that our customer could decide down the road not to go forward with this system, things that have nothing to do with FEI. We -- I think we have reasons which I can't go into to believe that, that is unlikely but nonetheless, we have to recognize that those are possibilities. But I think, of course, the other side of it is that if we're not successful in delivering on time or our products don't work the way you anticipated, then obviously our customer would have the opportunity to try to procure those products from somebody else. We think that's highly unlikely, and it's hard to imagine that, that would be cost effective for our customer. So setting aside the part of this that is completely out of our control that the system doesn't go forward because of financial things or other things that have nothing to do with our products, we set that aside and look at the part that we can control, I think we're -- we feel that we're in a really good position and I think it is very likely that one way or another, those options will get exercised.
Unidentified Analyst: Just for example, someone may make the part that attaches to your part. And if they can't make it, that would be an example of something that could go wrong, hypothetically.
Thomas McClelland: Yeah. That's the kind of thing that could go wrong. We've -- I'm not going to speak specifically about this program, but we've seen where other space programs had -- the whole program was put together and plans were to launch satellites in Russia. And then over the last couple of years, all of the things that have gone in geopolitical realm, Russian arrangements with the US are suddenly not very good. And so those launch opportunities disappeared. And so now the customer making that system is scrambling to find the other kind of launch sources someplace else in the world, that delays programs. And then when things are delayed, people are investing money and it goes out in time and things become a lot more challenging. So that's just by way of example, of other things that can throw a monkey wrench into these kind of programs. So I probably shouldn't be sitting here being negative about this kind of thing. But I think those are the kind of things that I could imagine that would potentially be a problem. If you pay attention to the commercial satellite programs that people talk about, somebody mentioned Starlink earlier, and there are many other of these systems, there's a good number of them that never really end up getting launched.
Unidentified Analyst: Yes, that's all -- that can always happen. But you're comfortable with these three contracts?
Thomas McClelland: Yes.
Unidentified Analyst: And the third one, is that the three-year one that you said three years before?
Thomas McClelland: That's correct, yes.
Unidentified Analyst: All right. So all these contracts could go -- you could do more work on. But right now, you expect a couple of just smaller contracts over the next couple of months?
Thomas McClelland: That's correct.
Unidentified Analyst: All right. And I think SpaceX, I think, is launching about half the rockets at this point, right?
Thomas McClelland: I don't know the exact number, but they're pretty busy, yes.
Unidentified Analyst: Yeah, it's not really your concern. You just make the product. And I think that's all I had to ask. It sounds like the backlog is going to grow and your revenue went up this quarter. So that's always -- it's been going up to like 1.5 years. So good job there and the backlog, kind of going up for a while. Thank you for your time.
Thomas McClelland: Thanks, Mike.
Operator: Thank you. The next question is coming from [Frank Gasser] (ph). Frank is a private investor. Frank, your line is live.
Unidentified Analyst: Yes, thanks for taking my call. I'm going to see if you could say something about not the present technology, but future technology. In particular, several, not quarters, years ago, there was mention of an atomic clock, which could, in fact, be a game changer. I haven't heard much about that sense. Could you elaborate on that in any way?
Thomas McClelland: Yeah. So we are currently working on an advanced atomic clock. In fact, we're going to do a demonstration tomorrow for our government customer on that one. That's post optically pumped rubidium standard. That technology, we anticipate should make an order of magnitude improvement in the capability of these kind of clocks. Now the demonstration that we're doing tomorrow actually is not for a space-based atomic clock, it's for terrestrial applications. But we do believe that this technology is definitely something that can work very effectively in the space environment also. So that's just one thing. I think that the -- we -- there are some other technologies in terms of even more advanced clocks that we are seeking funding rather for us to develop those technologies on internal FEI money is probably not feasible. So we are seeking sources of external funding at this point in time and we'll see over the next year or two, whether we can be successful at that. In addition, I think one of the things we think is very important and we are pursuing with internal funding is smaller, lower-cost atomic clocks and also court space clocks for space applications, but with an emphasis on very high performance. So I know I've talked about this previously on these calls, but I think we feel strongly that the trick is to find the sweet spot for a lot of these satellite programs, the lower orbit satellite programs. And the sweet spot is the finding the right compromise between low-cost, small size, low power, low cost and high performance. I think we've seen many of the satellites and Starlink is actually an example where the emphasis is on low cost, but the performance capabilities in terms of precision frequency and time are very, very limited. And so once you add the navigation component of those satellites, much better performance starts to become necessary. And we think that's where we can make a big contribution and we're working on that.
Unidentified Analyst: Yes. Thank you very much for getting in detail that. I just have one more short aspect of that. The test you said tomorrow, is that, in fact, then going to show a significant increase in clocks capability?
Thomas McClelland: Yes. Yes, it is. It -- we believe that, that technology is capable of even more. We're going to -- by one measure, we're going to demonstrate roughly an order of magnitude of improvement over what we typically do with our current products but we think that technology is capable of even another order of magnitude improvement if things are optimized appropriately. You have to keep in mind on this particular development, there are -- there's -- it's not just do whatever you need to do to get the best performance possible. It's get the best performance possible, but you have to keep the power dissipation below a certain amount, the size below a certain amount, the weight below a certain amount and so forth and so on has to work over a wide temperature range. And so that's where we end up where we are. It's the performance that can be achieved given the constraints that we have to operate in. And so yeah, depending on the application, the particular application, this is one particular example, and we do see a very significant performance improvement but if we remove some of the constraints that we have in this particular application, we can do much better.
Unidentified Analyst: Okay. Thank you very much for the responses and the improvement. Have a good day.
Thomas McClelland: Okay. Thank you.
Operator: Thank you. The next question is coming from [Richard Johns] (ph) and Richard is a private investor. Richard, your line is live.
Unidentified Analyst: Thank you. Tom, you were talking earlier about changes in your bidding processes. I wonder if you could expand on that a little further. Would you characterize the contracts, the large and small contracts you're winning as fixed price contracts?
Thomas McClelland: Most of the contracts we're bidding on are fixed-price contracts. We do, from time to time, have cost plus contracts. But in general, it's fixed-price contracts. I think in terms of expanding on things beyond that, let me just say, I think that, yeah, I've been here for almost 40 years. So I do have a lot of experience on these programs. And I think that I have a pretty good sense of what we can achieve and I think I have a pretty good understanding of our business and our customers and what the needs are and so forth and so on. So I think part of the trick in this regard is knowing just how to go about things. And I think in some cases, we are, if not the sole source, we are virtually a sole source because nobody else can provide, nobody else has the technology or the demonstrated capability to deliver the product that's needed. And in those cases, we shouldn't be giving anything away. And I think we've been working very hard to tow that line. In other cases, there's -- we have to look at potential going forward that maybe there's a new development and it's something that we want to invest in with the idea that there'll be a significant business going forward. And we can -- we want to make sure we have the opportunity to participate in that. And so I think the trick is having a good enough understanding of where things are. On the other hand, to invest in a new program where we end up taking on a lot of risk, and there's not much potential, it's a one-shot program or whatever, it doesn't really make sense to invest in that. And I can tell you, over the last year, I can think of specific cases where we lost the program. But we kind of did that knowingly. We know there was competition, and there just wasn't much potential beyond the particular program. And we could have taken those, we could've gotten those programs, we know what would have taken, but we will lost money. And it just doesn't make any sense to do that. So I don't know if that's a helpful.
Unidentified Analyst: Yes, that's -- it sounds as if you're going about the process in a very reasonable fashion. I have another question about your income taxes. They were tiny in the recent quarters as compared with the historic tax rate. Do you -- is that because of loss carryforwards? And when do you expect to get back to what I believe was more like a rate in the mid-20s or around there. When do you think you'll go back to that kind of tax rate?
Steve Bernstein: We do -- it is because of NOLs. The tax we're paying now was mandatory state taxes and things of that nature. I can't predict exactly when the NOLs will run out. But I can tell you, as you see the performance in the last couple of years, we have a bunch of NOLs going forward that we will be using for a while.
Unidentified Analyst: Okay. Okay. All right. That's it for me. Thanks very much for the good work you're doing.
Thomas McClelland: Okay. Thanks.
Operator: Thank you. We have a question coming from Jeffrey Cohen from Mulholland Capital Management. Jeffrey, your line is live.
Jeffrey Cohen: Yeah, good afternoon. How are you all? I appreciate all the color as other callers have reflected. Just real quick, you talked about the target gross margin above 50%. What sort of quarterly revenue run rate would that contemplate?
Thomas McClelland: Steve, do you want to...
Steve Bernstein: We don't -- we're not fully ready to guide how revenue will grow long term. We believe it will grow. And from there, we'll see the efficiency we get from the growth and the margin.
Jeffrey Cohen: Yes. No, I appreciate that. But I mean, if 50% gross margin is your target, you must have some sort of underlying assumption in terms of what sort of revenues you need to get there? So that's my question.
Thomas McClelland: Well, I -- I'll put things differently because I don't think it's -- that target is not really based on a particular revenue goal. I think that target is based -- it's really a question of how we're bidding new business. And that's the target for new business is a gross margin of 50%. And I just talked about the particular contract that we lost. And that's because when we bid it at 50%, we didn't get it. And that made sense in that particular case. Now there are going to be some cases where we're going to bid at lower gross margin because there is good reason to do that. But in general, we're really targeting 50%, and that's kind of a baseline approach to things. And it's really not that -- is not based on a particular revenue assumptions.
Jeffrey Cohen: Okay. But just so I'm clear, you're not talking about your six- to 12-month goal being you're necessarily getting 50% gross margin on your contracts. You're talking about being able to show that in a quarterly report, correct?
Thomas McClelland: I'm not quite sure I understand the distinction there.
Jeffrey Cohen: Well, I think there's a distinction between bidding a project at a 50% gross margin and actually bringing that down to your financial results.
Thomas McClelland: Okay. That's certainly true.
Jeffrey Cohen: And so when you put out that target, you're talking about the latter, correct? I mean...
Thomas McClelland: Yes.
Jeffrey Cohen: Yes. Okay. Can you quantify your bidding activity at all? The amount of outstanding bids or the sales funnel or in some way quantify that?
Thomas McClelland: I don't think I'm prepared to do that in a very meaningful fashion. Qualitatively, very qualitatively, I think the pipeline is pretty full at this point in time. We have a tremendous amount of bidding activity going on. But I -- yes, I'm not really in a position to put a total dollar amount on things at this time.
Jeffrey Cohen: Okay. And Steve, I was just curious, you said you have a lot of NOLs. Can you -- what would they be on a cumulative basis roughly?
Steve Bernstein: I don't have the exact number, but I'll say it's approximately $20 million, give or take.
Jeffrey Cohen: Okay. All right, that’s all I had. Thanks so much.
Thomas McClelland: Okay. All right, thank you.
Operator: And that's all of the questions that we had. I would now like to hand the call back to Tom McClelland for his closing remarks.
Thomas McClelland: Okay. Thank you. I think we've been on the call for quite a while at this point in time. I appreciate everybody's participation. And I'd like to wish everybody happy and healthy holidays and that's it. Thank you very much.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.